Operator: Good afternoon and welcome to the Metabolix's Fourth Quarter 2013 Conference Call. Today's call is being recorded for internet replay. You may access an archived version of the call on Metabolix's website at www.metabolix.com. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session toward the end of this conference call. I will now turn the call over to Ms. Lynne Brum, Metabolix's VP of Corporate Communications. Please proceed Ms. Brum. Thank you, Manny, and good afternoon everyone. Welcome to Metabolix's fourth quarter and year end 2013 conference call. If you do not have a copy of the fourth quarter news release, which was issued earlier this afternoon, one can be found in the Investor Relations section of metabolix.com. In addition, slides accompanying this presentation are available on the Metabolix website, on the Events and Presentation page in the IR section. Now, please turn to Slide 2; please note this part of our presentation today, management will make forward-looking statements. These statements are not guarantees of future performance and therefore, undue reliance should not be placed upon them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements, and such forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Metabolix's filings with the Securities and Exchange Commission, including the earnings filed this afternoon in the company's most recent 10-K. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of the conference call. On the call with me today are Joe Shaulson, President and Chief Executive Officer; Johan van Walsem, Chief Operating Officer; Joe Hill, Chief Financial Officer; and Oli Peoples, Co-Founder and Chief Scientific Officer. With that, I'd like to turn the call over to Joe Shaulson. Joe?
Joseph Shaulson: Thanks Lynn. Good afternoon everyone and thanks for joining us today. I am excited to be here and to share with you our priorities for Metabolix in 2014. Please turn to Slide 3. I joined Metabolix in January with the mandate to lead the company to commercial success. In my first three months, I focused primarily on our strategy and the capital plan required to execute against it. Based on my experience, which includes over 15 years in advanced materials and specialty chemicals, I believe Metabolix has a solid foundation for commercial success. That foundation includes a broad innovative technology platform, centered around PHA biopolymers and supported by an extensive intellectual property portfolio. It also includes extensive know-how gained from the scale-up of our fermentation and recovery technology, and the operation of those processes at world class commercial scale. It includes the work we have done, reshaping our commercial approach from one based on drop in replacement of commodity plastics with biodegradable plastics, to one focused on the unique properties of our PHA biopolymers. Biodegradability is only one of those properties, and we see considerable value in the role our biopolymers can play, in enhancing performance or reducing end product or processing costs of other materials. And finally, our foundation is built on an impressive team of talented people, dedicated to making Metabolix successful. Please turn to slide 4; since coming on board, we have reviewed our biopolymer strategy, and I think it’s important to describe it here for context. At its core, it’s quite simple. We are focused on building a commercially successful specialty polymers business, with attractive margins, based on the unique properties of our PHA biopolymers. Taking it down a level, it means we are intensifying our effort in product and application development, as we work closely with customers from initial data demonstration, through product and process validation, large scale trials, and ultimately purchasing decisions. This approach is integral to our additives based strategy, where the market opportunities are driven by the important value adding role our biopolymers play, as components of other material systems. Please turn to slide 5; of course, production capacity is a key part of building a commercially successful business. In that regard, we are working to secure intermediate scale production capacity for 2.5 to 5 kilotons per year of our PHA biopolymers. We are making excellent progress with site selection, and expect to have this capacity online and available for supply in 2015. While we work to execute these elements of our strategy, we will continue to position ourselves to move forward with longer range plans for larger scale production, supported by customer demand for PHA biopolymers. Ultimately, this will create significant value for all Metabolix stakeholders, and once we reach that level, I would expect us to have attractive margins and significant cash flow to fund our operations in future growth. Please turn to slide 6; so what are our top priorities for 2014. First, to secure the financing we need to execute our strategy. Second, to select a production site and do the legwork needed to get it up and running in 2015. Third, to intensify our product and applications development work with customers, with a focus on the right opportunities, those with critical mass and where PHA additives deliver real value. Fourth, to progress technical work in areas like yield and product and process development that will help advance our strategy. Fifth, to continue to seek value capture and partnerships for collaborations for our chemicals and crop platforms; and finally, to build a stronger specialty materials business culture that permeates our approach to all aspects of our business. Now let me add some detail on a few of these priorities. Please turn to slide 7; today, we reported in our 2013 financial results that we ended the year with $19.2 million in cash and unrestricted investments, and we know that we anticipate ending the first quarter 2013 with approximately $10 million. Clearly, this puts financing at the top of our list of priorities. Based on our current plans and projections, which of course remains subject to uncertainties, we plan to raise $50 million to $60 million over the next 12 to 15 months. The timing, structure and vehicles for this financing are under consideration, and it may be done in stages. While I can't comment on anything specific, we are working on a variety of options, and our goal is to use this capital to execute our business plan and to build an intermediate scale specialty polymers business, that serves as the foundation for our longer range plans and future growth of our business. Please turn to Slide 8; in 2014, we are also sharpening our emphasis on developing performance additive solutions that deliver the greatest combination of value and performance to our customers. We are being strategically selective as we develop our business, focusing on application spaces that stand to gain the greatest benefit from our PHA based technology, and that have the critical mass necessary for commercial success. Over the last year, Metabolix has presented data highlighting the performance and processing advantages that our PHA additives can deliver, when added to PVC or PLA-based plastics. From those data, we are now diving deeper into the market segments where our products can have the most impact. For example, we have been working to show how PHA additives can be used to enhance performance in specific flexible PVC applications like wire and cable. Similarly, we are showing customers how PHA-additives can improve processing, and enable the use of significantly more PVC recycled or fillers in rigid PVC products. We have also recently shown how our PHA additives can be used as a performance modifier, to produce tougher, more flexible PLA films, while maintaining other important properties like clarity biocontent and compostability. PLA is already an important bioplastic and its exciting to think about the potential for PHA additives, to help expand the application space for PLA, by enhancing physical properties. We are also working to develop solutions based on new PHA product forms, such as a PHA-based latex, that can be used for example to coat paper or corrugated cardboard. Here, our PHA biopolymers can add barrier properties, without compromising in important product attributes like printability, recyclabilty or repulpability. In all, with these areas, we are working with customers on solutions where our PHA biopolymers enable material systems with better overall performance and/or lower total costs. These are exciting opportunities, and we are evolving our approach and culture to drive them to commercial success. With that, I would like to hand the call over to Johan, who will describe some of our recent accomplishments, and to Joe Hill, who will take you through the numbers. Johan?
Johan van Walsem: Thanks Joe. Good afternoon everyone. Please turn to slide 9. As Joe highlighted for you, we are viewing our PHA products through the lens of performance additives, to ensure our product offering is distinct, differentiated, and viewed as a high value addition to polymer systems and formulations. Over the last several months, we have achieved milestones that are in line with our product development strategy in each of the strategic market segments of PVC, PLA and in the new area of latex. Starting with PVC; we are progressing the development and commercialization of three main value propositions, with leading players in the PVC industry. First, we are working with PVC converters to demonstrate the benefits of using PHA additives to increase the amount of PVC recycled used during processing, without compromising end product performance. Second, we are developing solutions that use PHA rubber additives to improve toughness and reduce migration of plasticizers in flexible PVC applications such as wire and cable. Reducing plasticizer migration is a major industry concern for both performance and environmental reasons. Third, we are working with rigid PVC converters, to commercialize PHA as a processing aid for highly [inaudible] systems, with PHA enhancers processing end product performance at increased [inaudible] levels. Turning to PLA, we have also presented data, showing use of our PHA rubber modifiers to improve the performance of PLA, a widely used bio-based compostable resin. Our modifiers have been shown to improve the softness and flexibility of PLA, while also retaining clarity, bio-content and compostability. We believe our PHA rubber modifiers have the potential to expand the applications base of PLA, leading to new business opportunities in the future. In 2014, we expect to continue working closely with customers on improved films and non-woven products, based on PHA modified PLA. We have also continued to sell compostable film including Mvera B5010 and Mvera B5011 products that we launched in 2013. Turning to our new PHA latex product; in 2013, we developed technology to produce PHA latex an aqueous dispersion of PHA that has very interesting potential in applications such as coatings, binders, tie layers and adhesives. One unique attribute of PHA latex is that it can form a tough factory film, making it well suited for sun barrier coatings on paper and corrugated cardboard. While PHA latex has been demonstrated to be compostable and marine degradable, and they also are compatible with the repulping operations commonly used to recycle paper and corrugated cardboards. During 2013, we demonstrated the latex technology of product scale and began sampling customers who are evaluating PHA latex in a range of applications. We intend to continue this development and commercialization effort during 2014. On the technology front, Oli presented data in November, demonstrating for the first time that Metabolix-designed microbes can convert cellulosic sugars to produce targeted PHAs through fermentation at vertically identical growth rates in yield to glucose. This is significant, as it provides us with the flexibility to use a range of first generation industrial sugars, as well as potentially lower cost second generation cellulosic sugars, to manage feedstock costs in the long term. In our chemicals platform, we achieved another key technical milestone, demonstrating a significant increase in yields with our technology to produce bioacrylic. We are continuing to build on these results, and believe our chemicals platform remains an interesting area for potential partnership or collaboration. In our crops platform, we have made recent discoveries regarding genetic traits that are linked to increased crop yield and improved stress tolerance. We plan to talk with potential partners about the commercial potential for these discoveries. In summary, our recent accomplishments have positioned us well for 2014, as we focus on the use of our PHA products and technology as performance additives and work with customers in our target market segments, which have the potential for significant annual volumes of material. With that, I will turn the call over to Joe Hill, for a review of the financial highlights of the quarter. Joe?
Joseph Hill: Thanks Johan, and thank you all for joining us today. I will now focus on the financial results for our fourth quarter ended December 31, 2013. As always, we manage our finances, with an emphasis on cash flow and deploy our financial resources in a disciplined manner to achieve our key strategic objectives, and to maximize value from our technology and product portfolio. We have maintained this focus, and ended the fiscal year with $19.2 million in unrestricted cash and investments. I'd now like to take you through some highlights of the financial results. I won't read out all of the numbers presented on the slide, but will highlight certain points worthy of note. I will first review product orders and associated revenue recognized, please turn to slide 10. Product revenue for the fourth quarter of 2013 was $200,000, which is a deferred revenue from Q3 orders. We shipped and build $500,000 of product in Q4 2013 that will be recognized in Q1 2014, as a result of the company's revenue recognition policy. By way of comparison, during the fourth quarter of 2012, the company recognized $700,000 of product revenue. For the full year 2013, we shipped and build $1.8 million in orders, of which $500,000 has been deferred to Q1 of 2014. We also recognized $800,000 of 2012 deferred revenue during 2013, which brought our total product revenue recognized in 2013 to $2.1 million. You can see on the sixth row of the table, that we had an inventory impairment charge of $500,000 in Q4 2013, for a total inventory impairment charge for the year of $800,000. The inventory impairment was primarily related to material that is no longer part of our strategic business plan. We continue to hold significant product inventory in the form of resins and blended material, which we are using together with pilot production of newer products, to support market development with customers and prospective customers. Cost of product revenue remains relatively low, as we are selling inventory that we purchased from the terminated joint venture, at a low cost per pound. Cost of goods sold also includes the cost of sample inventory shipped to prospective customers, warehousing and product packaging costs and certain freight charges. We anticipate that product revenue will increase in 2014, as we continue to gain market acceptance for our products. Although there may be fluctuations from period to period, we remain enthusiastic about our long term growth potential. Now turning to slide 11 for a review of financial results; you will notice in the fourth quarter of 2013, research and development expenses were $2.5 million less in Q4 2012. The decrease was primarily due to $2.3 million in charges incurred with the third party during 2012 for a manufacturing demonstration agreement that we terminated during 2013. Selling, general and administrative expenses were $900,000 higher in Q4 2013 versus Q4 2012, primarily due to $800,000 in one time costs associated with the replacement of our CEO. As a result, net loss for the fourth quarter was $8.6 million or $0.25 per share, as compared to a net loss of $9.5 million or $0.28 per share for the fourth quarter of 2012. The full year 2012 financial results include recognition of $38.9 million in non-recurring deferred revenue, that was recognized from the ending of the Telles joint venture in February 2012, which is driving a significant change in earnings per share, year-over-year. Now on to the balance sheet, turning to slide 12; as we look at cash usage, you can see at the bottom of the table, we had unrestricted cash and investments of $19.2 million as of December 31, 2013, this compares to $46.3 million at December 31, 2012. As in previous quarters, the fourth quarter loss is greater than the cash used in operating activities as a result of non-cash expenses, including depreciation of $200,000 and stock based compensation expense of $800,000. For the fourth quarter, net cash used in operating activities was $6.4 million compared to cash usage of $5.9 million used during the third quarter of 2013, and $7.3 million used in the fourth quarter of 2012. Ignoring one time cash usage items as highlighted on this slide, normalized cash usage increased in Q4 2013 over Q4 2012, mostly driven by increased inventory build for formulated products. For the full year, net cash used in operating activities was $26.6 million compared to $31.7 million used during the full year 2012. The crease of $5.1 million was mainly attributable to $3 million paid during 2012 for inventory acquired from the ended Telles joint venture, and $2.3 million paid during 2012, in connection with the manufacturing demonstration agreement. Based on our current forecast, we anticipate ending Q1 2014 with approximately $10 million in cash. Our quarterly cash usage remains about the same as we experienced in 2013. It is worth noting, that our cash usage in Q1 of each year is generally higher than the other three quarters, due to the timing of payments for our variable compensation to employees, which occurs in Q1 of each year. We are focused on strengthening our balance sheet. We expect that our cash and investments, together with expected funds that we received from existing grants and anticipated product sales will take us into Q3 2014, but will not be sufficient to meet our projected operating requirements for the coming year. This raises substantial doubt about our ability to continue as a going concern. We will require significant additional funding this year, and we plan to raise $50 million to $60 million over the next 12 to 15 months. However, if we are unable to raise additional funds, we will be forced to delay, scale back, or otherwise modify our business and manufacturing plans, sales and marketing efforts, research and development activities and other operations, and/or seek strategic alternatives. We will attempt to obtain additional funding, through public or credit financing, collaborative arrangements with strategic partners, with credit lines for other debt financing sources, to increase the funds available to support operations. We understand that strengthening our balance sheet is very important, and we are extremely focused on raising these funds. With that, I will now turn the call back to Joe Shaulson.
Joseph Shaulson: Thanks Joe. To sum it up, we are excited about the opportunities in front of us. Our immediate focus is on execution; execution of our financing plan and execution of our business plan. There is much work ahead and we look forward to delivering our priorities in the coming months. With that, we will open the call to your questions.
Operator: (Operator Instructions). Our first question is from Laurence Alexander of Jefferies & Company. Please go ahead.
Laurence Alexander - Jefferies & Company: Good afternoon.
Joseph Shaulson: Hi Laurence. How are you?
Laurence Alexander - Jefferies & Company: Very well. I guess, couple of questions. First, you laid out four different growth platforms. As you think about your ability to flex on the cash burn, can you rank those and then, can you give some sense for each one about sort of what needs to happen to arrive at partnerships, or what it would take to be able to monetize one of the platforms?
Joseph Shaulson: Sure. So at its most fundamental element, the core of the strategy is about driving, for those applications, where there is a combination of value and critical mass, and we have staked out PVC, PLA and this new latex opportunity as three of those core areas. And we have done it, because in each case, the scientific work that we have done, the work that we have done with a range of potential customers in the application space has provided extremely encouraging feedback, and we know that if successful, the size of the market opportunity is significant, and it’s significant in all three of those cases, and I would be hesitant to rank them at this point in time, other than to say that each of them is an important part of the strategy, and we are pursuing them all diligently.
Laurence Alexander - Jefferies & Company: Then in terms of -- can you give a sense for, which ones you've had the longest and most stable customer partners evaluating the platforms -- I guess what I am trying to figure out is, as you think about your cash burn near term, the degree of emphasis or lack thereof or what you're doing with the trade program for example?
Joseph Shaulson: I am sorry. So all of the platforms that -- all of the things that I just talked about, are within the biopolymers platform, and that is our primary area of focus. In terms of the crops program, we are continuing to advance research under grants, and to look for potential partners for commercialization or potential licensees for the technology. And in the chemicals program, the story is similar. So really, the execution story we talked about is heavily focused on the biopolymers opportunities that I discussed initially.
Johan van Walsem: Right, and one point to remember, Laurence, is that work we do on the crops program is funded through government grants. So that doesn't impact our cash burn.
Joseph Shaulson: And I would say I would add to that that our goal for both the crops program and the chemicals program is to do work to the extent that we are able to generate either grants or partnership funds to support those activities.
Laurence Alexander - Jefferies & Company: Then one last one if I may, just as you think about the -- sort of the likely opportunities that you're targeting near term, because of the capital outlay that you've highlighted. Is that intended to be -- eventually, you’ll narrow it down to one of these platforms one plant, or one plant that is flexible between three? Or would it be a smaller modular design that can be attached on existing infrastructure somewhere?
Joseph Shaulson: In the applications that we have talked about, it’s a pretty narrow range of specific products that would go into those applications, and we would anticipate having one manufacturing facility that can support all three of those platforms.
Laurence Alexander - Jefferies & Company: Perfect. Thanks.
Joseph Shaulson: You're welcome.
Operator: (Operator Instructions). The next question comes from JinMing Liu of Ardour Capital. Please go ahead.
JinMing Liu - Ardour Capital: Thanks for taking my question.
Joseph Shaulson: Hi JinMing. How are you?
JinMing Liu - Ardour Capital: Good. Thanks. First, I'd like to understand what is the positioning of your company at this moment? Are you trying to be a specialty chemical company or a biotech company focusing on new technologies?
Joseph Shaulson: I think the positioning is we are a specialty polymers company. So whether you classify that as materials or chemicals would probably depend by person. But fundamentally, a specialty polymers company, that happens to use a biotech route for producing its products.
JinMing Liu - Ardour Capital: Okay. But given the kind of cash you guys have, and I look at your cost structure, if you guys are going to be a specialty chemical company, are you going to still keep a very high R&D budget?
Joseph Shaulson: So we are going to maintain -- we are working on the commercial focus first, and that's what drives the R&D to back it up. So I think we will always have a significant R&D component to the company, but it may be focused on different types of things than it has been historically, because applications, development and specific product development that's application and customer focused will become much more important in this specialties business model, than it was in the days when we were still inventing the technology to make the product.
JinMing Liu - Ardour Capital: Okay. Switching to your capital plan. First of all, currently, you guys are talking about a intermediate stage scale capacity, somewhere between 2.5 to 5 kilotons per year. Why is that, and related to that, how much capital do you project to build up that capacity, and also, your projected production begins in 2015, that sounds like too quick to me, if you guys build out everything from scratch?
Joseph Shaulson: Sure. So consistent with the approach that we have had for some time, our manufacturing strategy is still focused on brownfield sites where some of the capability will be existing and some of the capability will need to be added, and that has the benefit, both of speed and the reduction of total capital. When you think about the capital plan, that $50 million to $60 million that we have talked about raising, gets us through the balance of this year and next year, and gets the facility up and running.
JinMing Liu - Ardour Capital: Okay. Just my last question, related to the $50 million you guys are going to raise, can you share with us a breakdown of what are you going to use of that amount?
Joseph Shaulson: I am not sure I understood.
JinMing Liu - Ardour Capital: For the $50 million to $60 million you guys are going to raise, can you give us the potential use of proceeds from that --?
Joseph Shaulson: Yeah, the proceeds will be used to fund all of our commercial R&D and other operations through the balance of this year and 2015, as well as to make the investment in and get up and running the manufacturing plant at 2.5 to 5 kilotons.
JinMing Liu - Ardour Capital: How much capital you guys budget for the production capacity?
Joseph Shaulson: So we are not disclosing the specific capital number. We are making excellent progress and in discussions with potential manufacturing partners, and when we have something specific to announce, we will announce it.
JinMing Liu - Ardour Capital: Okay. Lastly, in your near term plan, what do you guys factor in with all the existing partners you have, like Samsung Fine Chemicals and Tianjin GreenBio?
Joseph Shaulson: So we are continuing to work with our existing partners. Samsung as an example, is a supplier that provides materials that are important to our embedded films business, and we are continuing that films business as usual, and then layering on top of that, a new focus on these areas, such as PVC, PLA and PHA latex.
JinMing Liu - Ardour Capital: Okay. Got that. Thanks a lot.
Joseph Shaulson: You're welcome.
Operator: Thank you. We have no further questions in queue at this time. I would like to turn the floor back to management for any closing remarks.
Joseph Shaulson: Thanks again for joining us today and for your continued support of Metabolix. We have a strong team here that's focused on executing our plans. We look forward to talking to you again at our first quarter call. Have a good evening.